Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Cognyte First Quarter Fiscal Year 2026 Earnings Conference Call. [Operator Instructions] Please note that today's conference may be recorded. I will now hand the conference over to your speaker host, Dean Ridlon, Head of Investor Relations. Please go ahead.
Dean Ridlon: Thank you, operator. Hello, everyone. I'm Dean Ridlon, Cognyte's Head of Investor Relations. Thank you for joining us today. I'm here with Elad Sharon, Cognyte's CEO; and David Abadi, Cognyte's CFO. Before getting started, I would like to mention that accompanying our call today is a presentation. If you'd like to view these slides in real-time during the call, please visit the Investors section of our website at cognyte.com. Click on upcoming events, then the webcast link for today's conference call. I would also like to draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions of the federal securities laws. These forward-looking statements are based on management's current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call, and except as required by law, Cognyte assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these and other risks and uncertainties could cause Cognyte's actual results to differ materially from those indicated in these forward-looking statements, please see our annual report on Form 20-F for the fiscal year ended January 31, 2025, and other filings we make with the SEC. The financial measures discussed today include non-GAAP measures. We believe investors focus on non-GAAP financial measures in comparing results between periods and among our peer companies that publish similar non-GAAP measures. Please see today's presentation slides, our earnings release and the Investors section of our website at cognyte.com for a reconciliation of non-GAAP financial measures to GAAP measures. Non-GAAP financial information should not be considered in isolation from, as a substitute for, or superior to GAAP financial information, but is included because management believes it provides meaningful information about the financial performance of our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures that the company uses have limitations and may differ from those used by other companies. Now I would like to turn the call over to Elad.
Elad Sharon: Thank you, Dean. Welcome, everyone, to our first quarter fiscal '26 conference call. We are pleased to report a strong start to the year. Our Q1 performance reflects consistent execution against our strategy, strong customer engagement and healthy demand for our solutions. In the first quarter, we grew revenue by approximately 16% year-over-year to $95.5 million. Non-GAAP gross profit increased by about 17% year-over-year. We generated approximately $10 million of adjusted EBITDA for the quarter, more than double what we generated in Q1 last year. And cash flow from operations was approximately $1.7 million. These results underscore the strength of our business, the value of our technology and the increasing relevance of our offerings in a rapidly evolving threat environment. Let me share a few examples of our Q1 customer wins, high-impact deals that demonstrate the strength of our technology and the solid progress we are making in deepening our relationships with customers. We signed a multi-year support agreement with longstanding National Security customer. We have had a partnership with for over two decades. This 3-year agreement valued at over $20 million per year reinforces the critical role of our investigating analytics solutions play in helping the agency protect national interest and secure public safety. We also signed a new 3-year subscription agreement valued at over $10 million per year with another long-standing national security customer. By moving to a subscription model, the agency gains faster access to our latest AI power capabilities, continuous innovation and an expanded suite of solutions. This shift enhances their operational agility and ensures they went ahead of emerging threats in a rapidly evolving landscape. In addition, we closed 5 more deals valued at approximately $5 million each from new and existing customers. These included new solutions and upgrades. Together, these wins reflect our ability to deliver enduring value, respond to evolving customer needs and solidify our position as a trusted partner in the intelligence and security space. We continue to see strong customer engagement as agencies turn to us to help address their most complex intelligence and investigative challenges. This was especially evident during our participation just last week at ISS World's Prague. This is one of the premier global events for the intelligence and security community. The event brought together senior representatives from nearly 100 countries, including law enforcement, national security and government intelligence agencies. We showcased mission-critical solutions, including sharing a preview of our new investigation copilot, a generative AI-powered capability designed to accelerate investigations and deliver faster, smarter insights. The response across all solutions was extremely positive with around 80 live demonstrations and meaningful conversations with both existing and prospective customers. Meeting customers in person at events like ISS, other industry events as well as our own intelligence summit are a core part of our go-to-market strategy. They allow us to validate existing and future needs, deepen relationships and further solidify our leadership position in investigating analytics. When meeting customers and prospects, we consistently hear the same three challenges. First, they must analyze ever-growing volumes of data from an increasingly diverse set of sources. Second, they are facing adversaries who are highly sophisticated and constantly adapting their tactics to avoid detection. And third, they must navigate a rapidly changing technology landscape, while staying mission-ready at all times. These challenges are global, urgent and precisely the ones we were built to solve. As part of our U.S. growth strategy, we recently acquired GroupSense, a cyber threat intelligence company that combines automated and human capabilities to deliver customer-specific intelligence. This acquisition has a highly experienced team with strong domain expertise and a solid U.S. customer base. By integrating GroupSense's intelligent services with our investigative analytics technology, we'll be able to deliver even greater value to customers, providing broader visibility, faster insights and enhanced threat detection. We are pleased to welcome the GroupSense team to Cognyte. Together, we are expanding our reach and deepening our impact in the U.S. market, advancing our mission to empower our customers to stay ahead of rapidly evolving threats. Looking ahead, we are encouraged by the healthy demand and the continued validation of our technology through customer wins and engagement. Our strong execution, combined with a clear focus on innovation, position us well to drive long-term growth and expand profitability. For fiscal '26, we are updating our guidance to primarily reflect the recent GroupSense acquisition and now extract revenue of approximately $395 million, plus or minus 2%, representing about 13% year-over-year growth at the midpoint of the range, and adjusted EBITDA of approximately $44 million at the midpoint of the revenue range, representing approximately 50% year-over-year growth. Before I hand it over to David, I want to briefly highlight our recent Investor and Analyst Day. We shared our strategic priorities, demonstrated the technology behind our solutions and explored the real-world challenges we are helping customers solve every day. This wasn't just a regular CEO/CFO update. It was an opportunity to hear directly from our broader management team, especially the business and technology leaders who are shaping the road map and driving the execution across the company. It offers a valuable window into the depth of leadership behind our strategy. If you haven't yet watched the 1-hour long replay, I strongly encourage you to do so. It's a great way to see how we are positioning Cognyte for long-term growth. As we look ahead, we do so with confidence, driven by healthy demand, powerful technology and a clear sense of purpose. At Cognyte, we see that differently, and we are committed to helping eliminate the unknown by empowering our customers with the solutions they need to make the world a safer place. Now let me turn the call over to David to provide more details about our Q1 results. David?
David Abadi: Thank you, Elad, and hello, everyone. With consistent execution, healthy demand and large loyal customer base, we delivered strong financial results in the first quarter of fiscal 2026. Revenue for Q1 was $95.5 million, an increase of 15.5% year-over-year. Software revenue was $37.4 million, an increase of $5.9 million or 19% year-over-year. Software Service revenue was $44.7 million, roughly even with last year. Our total software revenue for the quarter was approximately $82 million, representing about 86% of total revenue. We continue to expect software revenue to be about 87% of total revenue on an annual basis. Professional services revenue in Q1 was $13.5 million, an increase of $6.6 million over last year. Professional services revenue is expected to fluctuate between quarters due to revenue recognition timing. We continue to expect professional services revenue to be about 13% of total revenue on an annual basis. Recurring revenue for Q1 was $47.2 million representing 49% of total revenue. Recurring revenue, primarily from support contract and some subscription offering, improves our visibility both near and long term. Non-GAAP gross margin for the quarter was 71.9%, expanding by 80 basis points year-over-year. Gross margin may fluctuate between quarters based on our revenue mix. Gross profit in the first quarter outpaced revenue growth and was $68.7 million, an increase of about 17% year-over-year. We believe the steady improvement we have made in gross profit is the result of the significant value customer derived from our innovative solutions, our competitive differentiation and our improved cost structure. The combination of revenue growth and our business model continued to deliver meaningful year-over-year improvement in profitability showing our ability to continue to drive operational leverage. Once again, non-GAAP operating income and adjusted EBITDA both grew significantly faster than revenue. In Q1, we generated $7.6 million of non-GAAP operating income, over 4x higher than the $1.8 million we generated in Q1 last year. Adjusted EBITDA for the quarter was $10.3 million, more than double the $5 million we generated last Q1, resulting in first quarter fiscal '26 non-GAAP EPS of $0.07. Turning to our balance sheet. Our short- and long-term contract liabilities commonly referred to as deferred revenue remained robust at about $113 million at the end of Q1, down modestly versus last year balance due to the timing of billing. During Q1, we generated $1.7 million in cash flow from operations and a negative free cash flow of $2.5 million. Q1 cash generation was relatively modest, primarily due to the timing of collection as we had strong collection in Q4 last year. For the full year, we continue to expect cash flow from operations to be about $45 million. We continue to execute our share repurchase program, buying about 952,000 ordinary share for an aggregate purchase price of approximately $9 million. As a reminder, last November, our Board of Directors approved a share repurchase program of up to $20 million in ordinary shares over 18 months. Since we began the repurchase program in December, we repurchased shares valued at approximately $14.2 million through April 30, 2025. Our cash position remained strong at $102.9 million with no debt. Let me share with you some additional context on the GroupSense acquisition.  Transaction closed on May 20, 2025, for approximately $4 million in cash. In addition, there is an out of up to $5 million contingent on GroupSense ability to meet defined post-closing performance targets. GroupSense offering is sold on a subscription basis and adds approximately 50 customers to Cognyte. Let me walk you through our execution against some of our key performance indicators. RPO, or remaining performance obligations represents contracted revenue to be recognized in future periods, influenced by factors such as sales cycles, deployment time lines, contract length, renewal timing and seasonality. RPO fluctuation are not necessarily indicative of future revenue growth rate. Total RPO is a sum of deferred revenue of $112.9 million and backlog of $484.9 million. At the end of Q1, total RPO was $597.8 million, up $52 million versus the end of fiscal '25. As Elad mentioned,  during the quarter, we signed a 3-year over $10 million annual subscription agreement. Delivery of this agreement is scheduled to begin in early calendar 2026. Currently, only the first year of the deal is included in our total RPO. Total RPO, which also includes multi-year support contracts is expected to continue to fluctuate due to renewal timing. Short-term RPO at the end of Q1 increased to $346.9 million which we believe provides solid visibility into revenue over the next 12 months. These healthy RPO levels reinforce our growth expectations and validate the strength and resilience of our business model. Q1 billings were $78.3 million, consistent with last year. Q1 non-GAAP operating expenses were $61.2 million, in line with our expectations. We remain focused on driving continued financial improvement and sustained margin expansion. Today, we are updating our guidance for FY '26, mainly to reflect the GroupSense acquisition. For fiscal '26, we're expecting full year revenue of approximately $395 million, plus or minus 2%. This represents approximately 13% year-over-year growth at the midpoint of the revenue range. We expect total software revenue to be about $344 million, representing approximately 87% of total revenue, and professional service revenue to represent about 13% of total revenue, aligned with our strategic goals. We believe that our strong short-term RPO of $346.9 million and a favorable demand environment support this outlook. We expect Q2 revenue to be slightly higher than the Q1 levels we're reporting today with sequential growth each quarter throughout the year. We continue to expect annual non-GAAP gross margin to be 71.5%, reflecting an improvement of 50 basis points over last fiscal year. Gross margin may fluctuate between quarters based on our revenue mix. As a result of the improved gross margin, we expect annual gross profit to increase at a faster rate than revenue growth. For the full year, we expect our non-GAAP operating expenses to grow meaningfully slower than revenue, reaching approximately $252 million, an increase of about 8%. Operating expense seasonality should remain in line with prior years with slight fluctuations throughout the year. We expect annual adjusted EBITDA to be about $44 million, representing 50% year-over-year growth. As a result of the execution of our share repurchase program, we reduced our expected weighted average fully diluted shares for the year to be approximately $75 million. We now expect annual non-GAAP EPS to come in at $0.19 at the midpoint of the revenue range. Turning to cash flow. We continue to expect to generate $45 million of cash flow from operation in fiscal '26. To summarize, we delivered a strong start to fiscal '26, continuing to execute against our strategic priorities. The combination of healthy demand, revenue visibility and the robust balance sheet give us financial flexibility to invest in growth while also improving profitability. We are encouraged by ongoing customer wins and positive feedback across our portfolio, reinforcing our leadership position. With this strong foundation, we believe we are well positioned to capitalize on the opportunities ahead and continue to deliver profitable growth this year and beyond, while providing our customers with tools to make the word a safer place. With that, I would like to hand the call over to the operator to open the line for questions. Operator?
Operator: [Operator Instructions] We have a question coming from the line of Mike Cikos from Needham.
Michael Cikos: Congrats on the solid start to the year. I just wanted to come back to the guidance for a second, and we'll work, I guess, revenue first, but just to make sure I'm clear. Q1, obviously, you guys outperformed the sell-side projection. But how did the quarter itself play out versus plan? Was there anything to call out is it sounds like you guys took a positive tone on macro and the demand. But can you just speak to those points specifically?
Elad Sharon: Hi, Mike. So in Q1, we -- the top line came a little bit ahead of expectation, but this can happen between quarters. We still expect the sequential growth quarter-on-quarter along the year. As of the demand and market environment, we do see similar momentum as we shared before. We do see very good traction with customers. It's evidenced also in conferences we are participating, including the recent one. The demand drivers remains very healthy. The data is growing volume diversity, the adversaries are most sophisticated, better hide, and the technology is running fast. So we do see the momentum continues, and we continue to expect to continue and grow along there quarter-over-quarter and improve profitability for the...
Michael Cikos: Got it. And for the -- I know you guys had cited some of these recent contract signings, right? I think we have more than $40 million in TCV you guys have announced in press releases. And so just a question, if we're seeing the volume of contract value that's being signed again $40 million, call it about $20 million is reflected in financials today based on some of these [indiscernible], which were not captured in today's numbers. Why isn't that necessarily impacting fiscal '26 to a greater extent? Is it the timing of some of these renewals or expansions? Maybe they're a little bit further out? Can you provide us an update on that front?
Elad Sharon: Yes, sure. So we mentioned actually two large deals. One is related to a renewal of very large contract contracts. We expected this to come in. So it was already baked in our guidance. And the second one is the larger subscription deal of over $10 million per deal, and the deployment is planned to take place in Q1 next year, fiscal '27. And that's the reason it's not relevant in terms of top line for this year.
Michael Cikos: I see. And on that $10 million-plus deal, if I heard correctly in David's prepared remarks, that's a 3-year deal, and the other -- so I was just going to say, so it's a 3-year deal, but only the first year of the dealer is currently included in the total RPO. Can you just help us think about like why isn't the remaining duration of that contract reflected in the RPO?
David Abadi: Yes, Mike. It's correct. It's a 3-year deal with annual value of $10 million. The deal from an RPO perspective only the first year is included. It's related to the terms and conditions within the deal, which only the first year is qualified for our RPO definition.
Michael Cikos: I see. Okay. And the final question I have for your topic is GroupSense with the acquisition here. I know that you're seeing the updated guidance today, primarily attributable to the GroupSense acquisition. Can you help us think about what is the revenue impact when we think about the $3 million raise here for full year? What is the associated OpEx increase by taking on the employee base from GroupSense?
David Abadi: So in general, it's a small transaction. It's a breakeven business. We added the $3 million to the top line. The model that they are selling is a subscription model. So it's a recurring revenue of $3 million that were added to the top line. And this is something that we saw to the guidelines. From an OpEx perspective, we have additional $2 million because of some other savings that come from different areas. So in general, it's a breakeven. We believe that over time, due to synergies and other elements, we can create profitability and it will allow us to grow in the U.S.
Michael Cikos: Great. And that U.S. piece, loud and clear on the increased exposure there. I know you're talking about the, call it, 50-ish customers being brought over as a result of GroupSense.  Are all 50 of those customers in the U.S.? Or is it just the vast majority? Is there any customer overlap with Cognyte's traditional customer base?
Elad Sharon: All customers are in the U.S. And the solution -- actually, the GroupSense provide to those customers is in the domain of cyber threat intelligence. We do believe that for some of the customers, and this was also the main rationale for the deal, we can leverage our technology and being able to deliver to the Cognyte's technology in addition to what GroupSense delivers to them today. And by that expand presence -- continue to expand our presence in the U.S., this is one element in our strategy to increase presence in the U.S.
Operator: [Operator Instructions] And I'm showing no further questions in the queue at this time. I'll turn the call back to Dean for any closing remarks.
Dean Ridlon: Thank you, Olivia, and thank you, everyone, for joining us on today's call. Please feel free to reach out to me should you have any questions. And we look forward to speaking with you again next quarter. Have a good day.
Operator: This concludes the conference call. Thank you for your participation, and you may now disconnect.